Operator: Good afternoon and welcome to Asure Software’s Fourth Quarter and Full Year 2019 Earnings Conference Call. Joining us today for today’s call are Asure’s CEO, Pat Goepel; CFO, Kelyn Brannon; and Vice President of HR, Cheryl Trbula. With that, I’d like to turn the call over to Cheryl for introductory remarks. Cheryl?
Cheryl Trbula: Thank you, operator, and good afternoon, everyone. Before we start, I’d like to mention that some of the statements made by management during today’s call might include projections, estimates and other forward-looking information. This will include any discussion of the Company’s business outlook or guidance. These particular forward-looking statements and all of the statements that may be made on this call that are not historical are subject to a number of risks and uncertainties that could affect their outcome. You’re urged to consider the risk factors relating to the Company’s business contained in our reports on file with the Securities and Exchange Commission. These risk factors are important, and they could cause actual results to differ materially from expected results. Finally, I would like to remind everyone that this call will be recorded and it will be made available on the Investor Relations section at www.asuresoftware.com. Finally, I would note that we have posted some slides on our Investor Relations website regarding the proposed transaction. Please refer to the Events and Presentations section on our IR website. With that, I would now like to turn the call over to Pat Goepel, CEO. Pat?
Pat Goepel: Thank you, Cheryl, and thank you all for being on the call today. We'd like to welcome everyone for the fourth quarter call and our 2019 earnings call. I appreciate your interest whether you're an employee, client, investor, analysts or valued interested party. We posted some slides on the Asure's website as Cheryl discussed and I will go through some of those slides after Kelyn's financial results commentary. First of all, before we go to Kelyn, some big takeaways this year. We sold the Workspace business for a $121.5 million in the fourth quarter. That all cash deal really helped us position the Company into a pure play human capital management company. We went from a net debt position to a cash positive position. The pure play HCM or Human Capital Management position will go through some compares of companies in that space, but it's a highly sought after highly valuable space and we really liked how we're positioning the Company. It's highly repetitive in reoccurring revenue, where it's 90% plus. We're now positioned as we go from -- we had net debt of almost $110 million or so when you have Providence. We're growing our salespeople this year from 34 to 60 at the end of the year. This positions us really nicely organically in 2020. You're going to see a steady increase in organic growth throughout the quarters of 2020. I remind you, we also have acquisition opportunities. Our go-to-market model is also with resellers. We're signing up more and more resellers and we have now 195 resellers to be able to acquire ultimately, which puts us in a really nice position to grow long-term. 2019, we spent a lot of calories and some dough on Amazon Web Services and NetSuite in [indiscernible] Domo analytics. We now have the infrastructure to grow and grow over the long-term. And then finally, we're branding the Company in the Human Capital Management. If you look at our web, new vision mission values, our employees are excited and our clients are excited with the focus. Kelyn will talk a little bit about our booking success, revenue and EBITDA as we speak consensus in all areas. Some of the analysts and some of the first call data had the Workspace business in for a full quarter, we were very fortunate in working with FM Systems, which is an Excel KKR company, where we completed the acquisition almost a month earlier than some first call estimates and that shows now for the year that we have a significant beat in each area. Finally, from a Board of Directors’ perspective, we approved the share repurchase program for $5 million in addition to some shares that we already had in place. So, we now have $5.3 million of opportunity to buy our shares. We intend to be very opportunistic and thoughtful in deciding, if we want to purchase those shares in the market and that's just some of the macro conditions. I'm going to talk a little bit about the macro conditions. First of all, my heart and prayers go out to people that are affected with the coronavirus, virus in their family, and extended family. It is something that's kind of a crazy event here in the next couple of weeks or in the past couple weeks and even leaning to the NCAA just canceling moments ago. What we have done is try to take in effect that macro event in the guidance we had in December, we have now lowered our Fed funds rate which Kelyn we'll talk about in light of the coronavirus and the fed actions, and we have also lowered in our model where we traditionally had a 2%, same-store sales for two quarters, we're in 2020 we're going to have that flat. So, we're taking that down about a percentage point, despite those two areas where really we don't control those factors based on this event. We are maintaining 2020 guidance and we're excited to be in a position. And also I want to just take a step back I've been in the human capital management space now 35 years, I've seen a lot of events, when all the ‘87 to 2007 et cetera Y2K. I want to remind people that in these times of toughness, our model is such that is highly reoccurring. We're aligned with the government. You see that the governmental proposed changes, companies need a valued partner to respond to those changes and that's why we feel as an outsourcer and a human capital. Certainly, we're never recession proof, but we do thrive when there is change in the marketplace is. We’re predictable, we’re reliable and these businesses in this space are very valuable in good times and in bad, and companies need us all the more in times like this. We're excited about what 2020 will bring, despite the doom and gloom in the last two weeks, and we're excited to tell you why. With that, though, before we go any further, I'd like Kelyn to talk about the financial results. Kelyn?
Kelyn Brannon: Thank you, Pat, and good afternoon everyone. We are pleased with our 2019 full year results, which exceeded guidance in all categories. Having said that, the sale of our Workspace management division in the fourth quarter and the restructuring of our HCM division created anomalies in our quarter results, we would point you to our full year results for the health of the Company. Now for the details, as a reminder, as usual all non-revenue financial figures I will discuss today are non-GAAP unless I state them as a GAAP measure, as always you'll find a reconciliation from GAAP to non-GAAP results in today's press release. During the quarter, HCM bookings grew 62% year-over-year. This represents the focus of our go forward HCM business and will be the best indicator of growth of Asure. As Pat mentioned, we were pleased to report that 2019 HCM revenue came in at 73.2 million ahead of our guidance of 72 million to 73 million. HCM revenue for the fourth quarter increased 1% to 17.6 million from 17.4 million in Q4 of last year. Recurring revenue grew 3% year-over-year and recurring revenue in Q4 as a percentage of HCM revenue was 95% compared to 92% in Q4 of 2018. Next I'll discuss our profitability metrics. Q4 non-GAAP HCM gross profit was 9.6 million equating to a non GAAP gross margin of 54.8% this compares to 11.3 million or gross margin of 65.3% in Q4 of 2018. For the fiscal year 2020, we expect gross margins to be in the high 50s. Interest on client funds exceeded 400,000 in the fourth quarter up from less than 80,000 in the fourth quarter of 2018. Given the recent fed fund rate reduction, we expect a 100 basis points of interest on client funds in Q1 and going forward; having said that, this is based on today's current portfolio holding and market rates. Fiscal 2019 non- GAAP EBITDA was 12.1 million above our guidance of 11 million to 12 million. Looking ahead to the first quarter, our non- GAAP effective tax rate guidance is still 0% and we feel this more accurately measures our expectations for actual performance. Now shifting gears to our balance sheet and cash flows, cash and cash equivalence was 28.9 million at the quarter end. 2019 operating cash flow improved year-over-year by some 6.7 million to operating out flow of 450,000. We believe this will continue to improve through 2020. We attribute the improvement to our cost reduction and restructuring efforts during 2019 facilitated by our NetSuite implementation. At December 31st, 2019, we had 26.7 million in net debt, which are the amounts payable for seller notes in our term loan. This was down dramatically from a 124 million at the end of Q3 of 2019 as we paid down our institutional debt with the proceeds from the sale of Workspace which closed in December. During the quarter, we also amended our credit agreement with Wells Fargo. The new agreement provides us with 20 million in term loans and a $10 million revolver. Total deferred revenue on the balance sheet after 31 December, 2019 including both short-and long-term combined was 5.8 million. DSO in Q4 was 24 days up from 22 days in the year ago quarter. Our head count decrease sequentially by 13 employees in Q4 within being head count of 413. Before I turn the call back over to Pat, I want to update you on our client fund initiative. As we discussed on a recent earnings call, we've taken steps to consolidate client funds to achieve a higher blended investment rate. We have begun protecting against short term interest rate fluctuations like spending tenor of certain investments, so as much as three to five years. However, given the recent 50 basis point decline in federal fund rate, we expect our blended annual rates have declined to 1% to 1.25% as of today. When we initiated this effort, we started out with 60 accounts spread across 11 banks, and we're still working hard to rationalize the banking investments. Currently, we've consolidated 75% of the client and operating funds across nine banks. We expect the majority of the funds to be consolidated by the end of the year. This is a very high margin revenue stream, so we're pleased to see additional synergies from the acquisitions impact or top and bottom line. Finally, we identified a deficiency related to the design effectiveness of the Company's controls surrounding the safeguarding of assets. Specifically, the Company did not maintain appropriate access to certain systems and did not maintain appropriate segregation of duties related to processes associated with those systems. We have implemented measures designed to remediate the efficiency and improve the internal controls of the Company. There are or there were no material misstatements to the consolidated financial statements, stemming from these deficiencies. We are required to disclose any deficiencies that creates a possibility that a material misstatement of the consolidated financial statements will not be prevented or detected on a timely basis. Now, I'll turn the call back over to Pat.
Pat Goepel: Thanks Kelyn. I want to refer you to the investment deck on the website. I'll be going through a couple slides. On Slide 3, really we talked about rebranding Asure and Asure Software will now be Asure. It reflects our reinventing for human capital management as a growth brand. If you look at our values, we really now have rolled these out to all the employees in the Company. I've personally visited with all the employees and I went on a listening tour and really, we’re set to rally the Company around growth and that growth means employee growth, client growth, growth for shareholders, and the communities we serve. We're excited about the new branding and we're focused on what it means to be successful. On Slide 4, our long-term plan which we introduced to you in the fourth quarter, we want to double in size in revenue. We want a 10% plus growth organically each year. 2020 is a transition year and then we want to layer tuck-in acquisitions, many of which we own the technology makes it easy for us to be able to simulate those acquisitions and the growth model. And if we do that properly, we think that EBITDA will grow faster than revenue, therefore enhancing shareholder value, and we're excited about positioning and then from an employee growth perspective, we'll add employees but not at the pace that we're going to add revenues, because we'll get leverage in the model. On Page 6, really we talked about the big market. It's a $42 million or billion dollar with B. TAM growing at 7.6 CAGR, 60,000 clients we have, both indirect and that is at 90% plus repetitive revenue and they are very sticky. They stay with us on average of 8 to 10 years and that is a long-term relationship that we enjoy with them, which makes this space so attractive. And then finally, I referenced some companies that are in this space. I pose their valuations, they're great companies, some of them are bigger of which than we are. We do have a scale as a $75 million company that far outweighs the capability of $75 million in that, about 50,000 of our clients are in a reseller relationship. Right now, we believe the market undervalues the Company and one of the reasons why we sold a space business is to really zero on net value gap or value opportunity in the Human Capital Management space. On Page 8, if you invested with us last year, you were $100 million in debt and what we have done with the Workspace business is now we have a self sustaining capital structure where we have as Kelyn mentioned, more cash and debt, we have positive cash flow, we pick up $9 million in cash just compared to last year's interest expense, and we can fund acquisitions. On Page 9, I referred you to the transition kind of year that we have in 2020, we're going from 34 reps to 55 to 60 by the end of the year. Organic growth is the priority for us. You will see a tick-up each quarter. And in 2021, our expectation is word double digits in organic growth, growth set up for a repeatable run for years to come. We also want to layer tuck-in acquisitions now that are in place and we believe the long-term margins of EBITDA will be 20% plus. Finally the quality of the EBITDA will go up dramatically. So, onetime expenses which will lay out for you in 2020 in our guidance we will show that the EBITDA less one times will grow substantially in 2020. On Page 12, we talk about the sales rep growth. We did have some sales reps that went with the space business and we're growing that, Al Goldstein, our Chief Revenue Officer said an outstanding job of hiring. We have 43 in place right now and we're growing by the end of the year we'll have 55 to 60 in place. The cross sell opportunity is big for us. We feel overtime that our beyond payroll revenue will equal our payroll revenue. It takes a while to cross sell to do that. One of the things that we did in our listening tour is within the service model, now all the bag or all the products in the bag, the salesperson, implementation person, service person are all in one location, that's close to the customer, and we can now sell implement in service solutions that a customer needs where they don't have to call additional people. We have a unique channel that we talk about on Page 13, where we have 180 resellers, another 15 in our backlog. And if we were to look at what their revenue is to the street, it's another 220 million or so that's the opportunity that we can grow. When we sell to resellers, we have a partner for life concept, where we'll give them access to our software, but also overtime if they wish to exit the business for any reason word alive to call long-term partner of that acquisition. Finally on 17, we have a stable growing base of reoccurring revenue, we're going to accelerate it both in the reseller as well as the organic salespeople and we're going to grow that in a very predictable fashion. On Page 18, I'll you remind you a couple things, one 50,000 shares plus options. I've never sold a share. I'm really liked how we're positioned, we're focused, we're going to grow, and we're going to grow in every aspect of the business, employ, client satisfaction, as well as revenue, and finally, income to the shareholders. So with that, I know times are tough with the Corona, there's some uncertainty around the market, and what decisions are going to be made, but I'm very certain that we're going to be a long-term success in this business. And with that, I open the floor for questions.
Operator: [Operator Instructions] Our first question comes from Ryan MacDonald with Needham. Your line is open.
Ryan MacDonald: I guess first on, what’s going on right now? Pat, maybe you can sort of talk a little bit more about what you're seeing as you're kind of going through the year in terms of just everyday business practices, conversations you're having with customers? Are you seeing any changes in activity in terms of buying patterns from those customers at all?
Pat Goepel: Ryan, thank you. I would say through the first two months bookings have been strong. Fourth quarter was strong. I would say in the last week, there's been some hesitation, when I think let's face it, with the NBA canceling and NCAA canceling, et cetera, that was reported in the last week, but it wasn't anything major at all. We feel confident in our pipeline. We're getting really good salespeople in. We have a good pipeline in the salespeople, but we feel pretty good on a sales side. I think the same emphasis that I just said where, if there's caution at all with this business model retention that also helps retention because customers sometimes are hunkering down, et cetera. I think people are turning the small businesses that we serve. And I remind you, we don't have any more international exposure. Our businesses are more local. We can pick up the phone, we can talk to them. I talked to several restaurants that were local. They're seeing emphasis on takeout orders verse inside. So business has been okay so far. From an employment perspective, we have seen, and payroll's traditionally a little bit of a lager indicator, but employment levels have been pretty good. We did block in that maybe hiring would slow down a little bit. We, despite that, reaffirm our guidance because we feel pretty good about the visibility so far. But in this real-time environment, that's how that's how I see it.
Ryan MacDonald: And then just as a follow-up, I'm great to see you that you're making some nice progress with the rest that you've already added this year and your targets for year end. But in the event that we do see, I guess an additional slowdown, what sort of levers can you pull on in terms of the make on headcount? Thanks.
Pat Goepel: Yes, and I appreciate it, Ryan. What I would say is, from a sales perspective I take the long-term view. I believe we were underserved in the marketplace. From a sales perspective, I'm confident we have a value proposition that we can sell. We are reinventing this company as a growth company and we are going to. I think from a non-discretionary, or excuse me, non sales opportunity, we could slow down, and some of our infrastructure investment in some of it will take advantage of that. We have been thoughtful in that area. We're winding down the TSA in the second quarter or transition service agreement that separates us from a FM System that's going really well. We do have levers we can pull and then from a travel perspective., not essential meetings, also can be held based on our client confidence for example is going to be now in a virtual environment as opposed to going to a location. So, there are levers we can pull, but I would tell you we're really going to put the emphasis on growth. Our view as this too shall pass and really set up 2021 and 2022 where this is a growth company and we'll do business a little bit differently. We've had a zoom and other enablers from a technology perspective. We're a low touch sale and a low touch and high touch delivery in a way that customers need us now more than ever. And if you think about some of the legislation that's being floated by the government to have a trusted third party to be able to navigate that is invaluable in these times.
Operator: Thank you. And our next question comes from Derrick Wood with Cowen and Company. Your line is open.
Andrew Sherman: This is Andrew Sherman on for Derrick. Pat, it looks like a HCM bookings are up a nice 62% or Pat or Kelyn actually. That was a big acceleration from last quarter. Maybe just flush out the drivers of that and the delta verse revenue growth in kind of way we should see that show up in revenue?
Pat Goepel: Yes, no, I think great question. Couple of things, so first of all, what I think the separation of a space business and HCM. In the space business, we had some very large customers, the Morgan Stanley's sort of world companies that are multinational and big sales cycles. With the separation of space, we can now really laser focus on human capital management. And I think, when I looked in talk to Al Goldstein and his team, really it's about focus. We're hiring the right people. Fourth quarter is a good quarter anyway, and then I would say the resellers have had some good successes here and we got a lot of momentum in that area. So, those are some of the reasons for success. Going forward, we're fortunate enough that we -- both Al and I have been in the business a long time and some of our leaders have been in the business for long time. We do have a good LinkedIn and Rolodex and areas that we can pick up, high-quality salespeople that can produce and produce right away, and we're going to leverage those relationships to continue to grow.
Andrew Sherman: Great. And maybe one for Kelyn, I think there was a comment that cash flow will continue to improve, but maybe just talk about how we should think about that this year and beyond in comparison to EBITDA and any other initiatives you have to improve that? Thanks.
Kelyn Brannon: Well, I think what you're going to see, we're going to continue to improve in 2020. It is a transition year for us, but having said that, as we start to, and we want to introduce that we want to start reporting both EBITDA and adjusted EBITDA. I think you're going to see as we go through the year and give guidance that the quality of our earnings is going to go up. So, in other words, kind of acquisition costs and one-time are going to be significantly lower than what you've seen in the past, and if you think about EBITDA and then adjusted, the delta between them will be much smaller, which improves the quality of earnings.
Operator: Thank you. Our next question comes from Ryan Meyers with Lake Street Capital. Your line is open.
Ryan Meyers: First one for me, if you could just start by talking about, how some of the investment in sales reps have paid off for you so far?
Pat Goepel: Yes, Ryan. Thank you. And tell Eric we miss him. But what I would say from the investment and salespeople, when we look I think it's probably a little early, you'll see organic growth go up through the year in 2020. But where I would say, we've been very fortunate is that we've hired some people that are industry leading. And just the energy, they're bringing to deals we've had immediate success, as evidenced by the 62% growth. But also more importantly, they're starting to bring other cadre of people, relationships. And one of the aspects of our model that's important is when we go to a Tier 2 or 1, 2 city, we look to really solidify, banking relationships, CPA relationship, benefit broker relationships, some of our valued competitors are starting to go after some of that business. We're taking the approach where we're welcoming them to help sell a whole solution, and we get value from that and some of those folks that we're bringing on have deep relationships that are able to fast forward pretty quickly. I think of a relationship of somebody that we brought on in January we're in front of a pretty good sized West Coast bank this past week, and we'll be getting hundreds of leads from that bank over the course of 2020. So, that's an example where somebody can make an impact pretty quickly.
Ryan Meyers: And then just one more, can you provide us with some more details around the cross-sell opportunities that you guys have seen so far?
Pat Goepel: Yes, I think from a cross-sell opportunity perspective, there are a couple things that really are resonating with us. First of all, we put all the solutions into the salespersons bag as well as implementing service, and when we can offer for example, HR consulting or online HR consulting, advice, employee handbooks, HR products and services, time and labor, all as part of a payroll package. And then, we can able to take employee calls or they can do the work. Now you have an opportunity that resonates with them because, you're really solving their problem. And if you think about either the coronavirus where people might, work from home or work in a virtual environment, if you know some of them don't have PCs, some of them have workstations, and they can use us as a valued partner. We're seeing those opportunities pop-up in the marketplace.
Operator: Thank you. [Operator instructions] Our next question comes from Jeff Van Rhee with Craig-Hallum. Your line is open.
Jeff Van Rhee: So, several for me, I want to turn on the reps just in terms of that a little further. How did you end '18 in terms of HCM reps? And then in end of ’19, I want to be clear, it was 34 and the current number was 43. I just maybe validate those numbers. And then with respect to the sales has now in the in particularly the sales heads you're adding you obviously got a multi-tiered or multi-focused sales, specifically where are the new heads dropping in?
Kelyn Brannon: So, on the revenue, let me do that first. I think you asked where the full year finished for 18. It was 63.6 million versus a 2019 full year of 73.2 million.
Jeff Van Rhee: Yes. Actually, sorry I didn't word that very well. What I was asking was HCM reps, they actual sales rep head count at ‘18.
Kelyn Brannon: And you said reps that I've heard rev, sorry about that.
Pat Goepel: And reps drive rev. Okay. So, Jeff, you know, we had about a 65-35 mix in space reps, two HCM reps. we ended the year at about 34 HCM space. Now, we're at around 43. We have a nice pipeline of candidates. We'll finish the year between 55 and 60 the second half of the year of be about two a month or so that we have net. So that's a I think a positive driver. When we sold the reps business, some of the reps, when we looked at it they were selling all the products, someone away. Now we have people focused direct in a small middle market. We're looking at tier two, tier three cities and we beefed up the West coast with a nice hire. We also have looked at our channel strategy. We've been on fire with our resellers and we have bolstered that area as well and selected areas of the country. So I would say we've really looked at it from a balancing out our USA presence, balancing out our channel strategies where we can align with a CPA banker and or benefit broker in cities where we can leverage those relationships. So that's been the strategies thus far.
Jeff Van Rhee: Got it. And then I guess, a couple of model questions, with respect to the target model of 20% EBITDA margins. What kind of gross margin -- trying to get a sense of trajectory on gross margin, you've got some obviously extra costs you're carrying at this point, but maybe working backwards. What does gross margin look like in that target model? And then just secondly, as it relates to the deficiencies for the audit, is that ultimately we’ve got wait for the K to get acknowledgement from the auditors that's been formally cleared or just catch us up, how that's likely to play?
Pat Goepel: Okay. So, let's start with gross margin first. As you can see that we were in the, in the 50s in Q4, what I said in my remarks is that we're looking at the high fifties and the reason for that, and that's primarily in 2021, 2020. As we sold the Workspace business, we basically have with it whether it's AWS or additional headcounts as we start to prepare to scale up. So, we're carrying in this transition year a little more heavier costs, but they're in place now and allows us to grow and scale through acquisition or through organic growth. You know, we're still a public company, but we were all, you know, 30 million of revenue on the Workspace business. And so, it still continues to have cost there in both OpEx and in gross margins. As to the deficiency, you will see in the 10-K that we have a material weakness over these controls. We have remediated those. You won't see that necessarily in the K because by the time that we've found the problem, given the fact that we were coming off great plains and into NetSuite and trying to get an all up and running in Q3 and Q4. We didn't have enough months left to be able to demonstrate the remediation even though that we had done it. So, I would expect to see that sufficiency roll-off and be remediated into one, if not two.
Jeff Van Rhee: Got it, got it. And just to complete look on the gross margin, the question was, going forward. So, in the target model of 20% EBITDA margin, what is the implicit gross margin at that point?
Kelyn Brannon: It would be in the high fifties, I would say.
Jeff Van Rhee: High fifties, okay.
Kelyn Brannon: Yes, 58 to 60.
Pat Goepel: Yes, and Jeff, I think long-term we have an opportunity to improve from that. And then from a 20% target of EBITDA, we have done that before. I think the TSA will get rid of it in the second quarter and then skip. The growth of the acquisition and or the organic sales people will continue to improve the gross margin in the long-term plan. And so, we feel good about the tactics that we're doing. We will give further guidance as we make progress throughout the year for the long-term model and the out years of 2021, 2022.
Kelyn Brannon: Got it. I'll speak to one last one real quick then if I could on the cross sell. Can you expand on that just a bit? Obviously, you're getting after it on head count and with respect to the cross sell. What are the gating factors? How should we think about this? Is it a matter of training? You had some incremental products or product upgrades? How are you going to measure it? What are the benchmarks there in terms of how you expect cross-sale to accelerate?
Pat Goepel: Yes, I think if you, Jeff, I don't want to dodge that question, but in a month or less than a month, I guess a little bit more than a month. In the first quarter earnings call, we're going to lay out guidance and with the implementation of NetSuite, we have plans internally by market, by cross-sell and we'll have some metrics for you that we can sink our teeth in together. But suffice to say, there is some product work going on around the integration of the One Asure and the One Asure from a mobile device from a integration perspective, primarily around time, and payroll in addition, HR and payroll. And then finally consulting, we worked really hard on a low touch consulting model that also expands in a repetitive way, and we're pretty excited about that. And then from a service model perspective, our listening tour has really brought all products and services to salesperson implementation service. And we think that there will be some pretty big demand and we're already seeing it, but we'll lay out those metrics on the first quarter earnings call.
Operator: Thank you. It looks like we have time for one more question. Our last question comes from Vincent Colicchio with Barrington Research. Your line is open.
Vincent Colicchio: Yes. Pat, congrats on the quarter. Most of my were asked, just, what does happen to hit the high end of your financial guidance.
Pat Goepel: First of all, you know, from a guidance perspective, we don't think we're too heroic by any means in a tough macro environment. We get that. I think if we continue to keep our customers, we grow our customers from a growth perspective. I remind you that, no acquisitions are in the guidance. We feel like it's pretty well balanced at this point. We think the model's pretty repetitive So, we're positioned I think, pretty well. But to beat the guidance or get to the high end, its keep our customers love them up, have them buy more, get our salespeople hired and growing. And then from a cost perspective, we're well on our way to separate in business we feel we're on target to meet that need in the second quarter. And really get the flywheel going and then a couple acquisitions or really just the organic progress. I think you're going see us through the quarter continue to grow, and if we execute and when we execute, good things will happen.
Pat Goepel: Thank you, Vince. Well, I think that concludes our questions. I will -- first of all, I want to acknowledge the 417 employees. If you think about this year was a transformative year for us, selling the space business and doing it with a great partner of KKR and FM Systems that went really smooth. It puts us into a reinvention position where we can talk today about a business that we weren't even in four years ago and we have really high hopes for. We think we're at the right time of a market opportunity. We are in the right segment of the market place. We have access to the right people to grow the business. We can do something really special here. So, some days when you think about, the uncertainty in the world, et cetera, there's going to be a payroll, there's going to be the human capital management services, and there's going to be clients who need help. And we're going to be positioned quite nicely to help them, we believe the value, we will catch up when this thing goes away. And when people see that this company doesn't have that and they're getting growing organically, and they have this type of acquisition opportunity, and they see the execution that this team is capable of. We think we're poised nicely. So, I appreciate your interest. We'll continue to be here and I've been here 10 years. I haven't sold a share, I'm more confident today that at any point in the 10-year history that I've been on Asure. So, I thank you for your interest.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.